Operator: Good day, and welcome to the Symrise Analyst and Investor Call on occasion of H1 2021 Results. Today's conference is being recorded. And at this time, I would like to turn the conference over to Tobias Erfurth. Please go ahead, sir. 
Tobias Erfurth: Thank you very much, Simon. Good morning and welcome to our analyst and investor H1 call. All corresponding materials, including the presentation have been published on our website this morning, and a replay of this call will be available later today. Today's call, like always, will be held by our CEO, Dr. Heinz-Jürgen Bertram; and our CFO, Olaf Klinger. After the presentations, we are open for your questions. With this, I hand over to you Heinz-Jürgen, you may begin.
Heinz-Jürgen Bertram: Thank you, Tobias. Good morning, ladies and gentlemen. Welcome to our investor and analyst conference call for the results of the first half of 2021. Thank you for taking the time to join us today. Our CFO, Olaf Klinger and I will run you through today's presentation and answer your questions. So this is our agenda for today. I will give an overview of our business development, and Olaf will then go into the details of our financials. We will conclude with highlights from our operations and give an update on our raised guidance. For more than a year now, the corona pandemic has been dominating economic and social life worldwide. But the situation has clearly improved even though it has not come to an end yet. Many nations have already made good progress in acceleration of vaccination rates and fighting the pandemic. These efforts have resulted in a revival of the global economy of the past month. Symrise has clearly capitalized on this economic progress and delivered an excellent performance in the first half of the current fiscal year. The key figures of the chart 4 bear witness to this. We increased sales by 4.8% in reporting currency to more than €1.9 billion. On an organic basis, we achieved an even stronger rate of actually 9.7%. EBITDA increased 6.8% to €420 million, with an EBITDA margin of 22%. The business free cash flow amounted to €181 million. Net income increased by more than 16% and totaled €196 million. Accordingly, earnings per share increased to €1.45 plus €0.20 versus first half year in 2020. We are very proud of these results, and we think we can add more to it. Clearly, we still have somewhat limited visibility and the pandemic will continue. But we do think that consumer demand will further normalize and this will give tailwind to our business. We are therefore raising our 2021 guidance for both sales and profitability. Details later on. Let us move to chart 5 for our sales development on group level. We grew sales by almost 5% to more than €1.9 billion. The Sensient Fragrances and Aroma Chemicals business, which we had acquired effective April 1 contributed more than €14 million. We also achieved strong organic growth of almost 10%. Like many of our peers, of course, also compare against lower prior year results. But we predominantly experienced the renewed dynamics in all regions. The link between improved pandemic responses in return to a more mobility and more dynamic everyday life with corresponding consumer demand is clearly visible. Chart 6 illustrates these dynamics by segment. Scent & Care achieved a very strong organic growth of 9% in the first half of 2021. In reporting currency, sales totaled €749 million. The segment benefited in particular from the sharp rise in demand for Cosmetics and Fine Fragrances, as a result of increased mobility and travel. Sales in Fine Fragrances even exceeded the pre-corona levels significantly. With the start of the second quarter we have combined our activities in the Flavor & Nutrition areas in the newly introduced segment Flavor & Nutrition. The newly combined segment drove organic sales by more than 10%. Overall, the segment top line rose to above €1.1 billion. Decreasing corona infections are gradually supporting consumer confidence and out-of-home consumption. These developments push particularly the demand for beverage applications. In addition, our pet food activities were again another strong growth driver for the Flavor & Nutrition segment. Let us move to Chart seven for the performance by region. All regions drove organic growth with Latin America delivering the strongest organic growth of more than 15%. North America and Asia Pacific ranked second and third with 13%, and 10% respectively. EAME achieved organic growth of almost 6%. Across all regions sales were driven predominantly by gradually increasing sales volumes. Let me now hand over to Olaf. He will present the financials in more detail.
Olaf Klinger: Yeah. Thank you, Heinz-Jurgen and also a warm welcome from my side. As usual, I will walk you through our financial performance, in some more detail. Let me start with the group sales on slide 9 with a comment on the organic growth. It was fully driven by volume increases. The Fragrance and Aroma Chemicals business from Sensient contributed €14.4 million of sales, represented 0.8% growth to the portfolio. This is third-party sales only and therefore slightly below the market expectations, which I guess, has been based on the sales number of €77 million that were published in the past. FX is a negative headwind of €103 million, or minus 5.7% and mainly, from the U.S. dollar environment as well as high inflation in Brazil and Argentina. Assuming stable FX rates for the remainder of the year we expect this effect to shrink towards minus 3% to 3.5% by the end of the year. Please turn to the group profitability on slide 10. Unlike H1 2020, when only the second quarter was hit by corona, this year both quarters were affected by the pandemic. Higher manufacturing costs which are partly related to extra shifts and related costs during Q1, in connection with the cyber-attack and the lower margin of the Sensient acquisition slowed the gross profit growth below sales growth of 3.6% or €756 million. EBITDA grew 6.8% to €420 million. We were confronted with higher logistic costs and some specific raw material cost situations, Keywords here are the Texas freeze and propylene glycol. On the other hand, we benefited from strict cost management and lower travel costs leading to proportionately lower increases in sales and marketing as well as R&D cost. On top, we had a positive one-off book gain effect of €13.2 million, related to the Sensient acquisition. The EBITDA margin of the group reached 22% without the one-off gains effect the margin achieved 21.3%. Counting in, the transaction-related cost of €2.6 million the EBITDA margin of the group amounts to 21.5% for the first six months. Following a lower amortization, mainly due to FX translation effects and the expiration of amortization for ERP templates, implemented in the past the EBIT increased by 11.6% to €297 million which led to an EBIT margin of 15.5%. For your modeling, please keep in mind that due to the short period between closing and reporting date, the purchase price allocation for Sensient is still to come. Let's turn to Scent & Care on slide 11. Scent & Care grew organically at 9% in H1 and even 9.6% in Q2, fully driven by incremental volume. The Sensient acquisition added additional €14.4 million to the portfolio. FX remains a burden was minus 5.6% in H1, but slightly eased from Q1 with minus 7% to Q2 with minus 4.1%. The segment Scent & Care achieved an EBITDA increase of 11% to €162 million after €146 million last year. This reflects the rebound of the high margin businesses Fine Fragrances and Cosmetic Ingredients, while the new business from Sensient came with a far below group margin. The EBITDA margin reached a solid 21.7% after 20.6% last year for Scent & Care. Turning to Flavor & Nutrition on slide 12. Organic growth was driven by volume and reached 10.1% in H1 and 8.3% in Q2. FX headwind was on a similar level as with Scent & Care amounting to minus 5.7% in H1 after minus 6.9% in Q1 and minus 4.5% in Q2. EBITDA increased 4.3% to €258 million. The EBITDA margin was stable at 22.2%, while higher transportation and some specific raw material costs were balanced by a rigid cost management and lower travel costs. We are specifically pleased with the development of our ADF/IDF acquisition, which continues to perform above initial top line and bottom line expectations. Please turn now to slide 13 for our bottom line performance. The financial result improved by €6 million to minus €23 million due to one-off effects last year, i.e. interest on tax liabilities and this year lower interest on pension and leasing obligations. Our tax rate of 26.2% targets now the lower end of our expected mid-term corridor of 26% to 28%. EPS Increased strongly by 16% to a new record level of €1.45. Slide 14 shows the development of our business free cash flow, which decreased by 5.2% to €181 million and corresponds to 9.5% of sales during the first six months of the year. The slight increase resulted from higher working capital and here mainly higher trade receivables due to the strong sales growth and should also be viewed in the context of an exceptionally low working capital level at year-end as a consequence of the cyber-attack. The group continued to invest into growth opportunities with a specific focus on pet food and ADF/IDF. As a percentage of sales, CapEx was 3.2% or €62 million during the first six months. The ratio is expected to accelerate during the second half of the year. Our CapEx guidance of 4% to 5% for the year remains therefore in place. One comment on the way of presenting the business free cash flow numbers we show the full year and half year numbers on Slide 14. Internally we also used a rolling number for the last 12 months. This number was 15.4% of sales at the end of H1. For the full year, we continue to expect business free cash flow to be above 14% of sales. Our balance sheet on slide 15 comes with a healthy equity ratio of now 41.9%, which is slightly better than the 39.8% at the end of last year. The biggest change was the increase in inventories and receivables of around €219 million. This resulted from our strong sales increase our ambition to secure supply and the additional Sensient business. Our pension obligations decreased by €67 million, primarily due to higher interest rate environment in Germany. Please move now to our solid net debt development on slide 16. We are getting closer to our long-term net debt including pension target of 2 times to 2.5 times EBITDA. With a net debt position of €2.15 billion we are already at 2.8 times after 3.0 times last year. And with our pension and leasing we are at €1.53 billion which corresponds to 2 times EBITDA. In summary, we provided a very strong set of financial figures for H1, 2021 during the unprecedented times, which is giving us lots of comfort to outperform our initial targets for full-year 2021. And with this, I would like to hand back to Heinz-Jurgen, who will further comment on the operational highlights and our increased guidance for the year. Thank you.
Heinz-Jürgen Bertram: Thank you, Olaf. Ladies and gentlemen, before we move on to our updated forecast, allow me to present key projects, which we have driven forward in the first half of this year. As most of you know, our pet food activities are one of our growth engines. The trends to that ownership have constantly been increasing. We are therefore confident, that the market for pet nutrition and health will further grow. This is why we have recently decided to become a strategic shareholder of Swedencare. We acquired about 5% of the company's share capital in June. Swedencare is a fast-growing provider of premium pet health products. Symrise and Swedencare run complementary activities and we see great opportunities for collaboration for example, in pet oral care. In addition, we will jointly explore new growth opportunities in the area of pet care and pet health. Let us move to Chart 19. This is quite comprehensive and it illustrates that the wheels never stand still at Symrise. Let me highlight some strategic initiatives. In the first half of 2021, we also extended our pet food activities outside of Europe. In China, we opened a new manufacturing site for pet food applications. The plant contains the very first palatability measurement center in Asia Pacific, and operates in line with advanced sustainability standards. As you know, sustainability is one of the cornerstones of our corporate strategy. We place a strong emphasis on our environmental footprint and the sustainability of our supply and we are constantly expanding our efforts in this area. In this context, our food business has introduced a new digital solution for the traceability of global farming and sourcing practices. In the context of sustainability, I'm also very proud that we successfully renewed our FSC Chain of Custody certification. We are the first and only producer of turpentine oil from pines, who received this certification. To integrate sustainability beyond our operations and into our financing activities has become a strong preference of the Executive Board and of Olaf, in particular. Consequently, we have not only refinanced our revolving credit facility of -- from 2015 but we added a sustainability link for the very first time. Ladies and gentlemen, let us conclude today's presentation with our new outlook on Chart 20. Even though we must expect the current dynamic situation to continue, there is also a reason to be confident. We have proven in the first half of the year that we can rely on our robust and diversified business model. We reliably serve customers, drive innovation and expand constantly our capacities. In other words, we drive sales and earnings growth also in more difficult times. These abilities gives us confidence to update our forecast for 2021. We raised our organic growth target from previously 5% to 7% to now more than 7%. We also target an EBITDA margin of more than 21% versus of around 21% as previously stated. We are confident that Symrise is very well positioned to achieve these targets. Our medium-term targets remain unchanged. We strive to continue to be among the fastest-growing companies of our industry. Our targeted annual order growth rate remains at 5% to 7% on average. In addition, we want to be one of the most profitable players in the industry. Our environmental objectives also remain untouched. With these strong prospects, I would like to conclude today's presentation. And Olaf and I now are happy to answer your questions.
Tobias Erfurth: Many thanks Heinz-Jurgen and many thanks, Olaf. Turning to Q&A, we are now happy to take your questions after Simon's instructions. Simon, please go ahead.
Operator: Thank you to our speakers’ [Operator Instructions] We'll now move to our first question over the phone which comes from Lisa De Neve from Morgan Stanley. Please go ahead. Your line is open.
Lisa De Neve: Good afternoon, Jürgen and Olaf. First one is, can you please share some details on how the Diana Pet Food business performed in the second quarter? And how the recent startup of your Chinese pet food facility will play into the growth in the second half of the year? That's the first question. And then secondly, can you provide an update on sort of the EBITDA bridge items in the second half as it relates to where are raw materials trending potential synergies from your Flavor & Nutrition division combination as well as some synergies and integration from recent acquisitions? Thank you very much.
Heinz-Jürgen Bertram: Okay. Thanks, Lisa for the question. Two questions actually. I propose I start with the Pet Food part. Olaf, you take the bridge part, all right. So Pet Food has been contributing significantly to our growth and has been delivering well in the double-digit numbers turnover wise and on the bottom line also very healthy contribution as usual. The interesting part in your question was the China start-up and actually as far as we can see it now it is it went better than expected. Last time I said, the first plant for Pet Food in China with a totally new supply chain, we expected more challenge than actually we have seen. So far it is a very smooth and seamless start-up. At least from what I can tell you here now we have not been able to personally convince ourselves due to travel restrictions. But on the other side Lisa, it shows that obviously our team is very robust even under some challenging circumstances able to deliver according to what our forecast is. Pet Food continues to be a strong growth driver as we said. Has contributed over disproportionately to our growth now in top and bottom line. And the China factory start-up is very well handled and so far no problems there. Olaf with that your question on the bridge. 
Olaf Klinger: Yes. So let's start with the tail end of the bridge. In general, our model is of course very immune against currency fluctuations. So you normally don't expect an impact on the margin side. However we had around €18 million in H1 on translation. There was also a little bit of transaction headwinds coming through currency. The raw material side is pretty stable still. So we continue to see a slight headwind 1% to 2% for the year. Nothing of concern at the moment. Manufacturing costs were higher, partly related to the already mentioned cyber-related extra costs in Q1 that drove this a little bit faster. Otherwise, good cost discipline and therefore, sales and marketing and R&D growing less than the top line. There's strong momentum coming from synergies which you referred to on the flavor on the ADF/IDF side, we had very nice wins with customers on the top line through the combination. And this is what we are driving at the moment with the combination of Flavor & Nutrition. So good momentum there and you clearly see that in the Q2 numbers of especially the flavor side and the ADF/IDF side. So I would stop there with the bridge consideration. All in all, very strong performance also on the bottom line.
Lisa De Neve: Thank you very much.
Heinz-Jürgen Bertram: Yes.
Operator: We'll now move to our next question over the phone which comes from Heidi Vesterinen from Exane BNP Paribas. Please go ahead.
Heidi Vesterinen: Good morning. I have three questions and I'll go one by one. First of all, how much pricing are you assuming in your full year guidance on organic growth this year please? That's the first question.
Heinz-Jürgen Bertram: Okay. That's a tricky one. Actually, Heidi in these price models we have so far the assumption not changed one-third price increase two-third volume increase, but that may very well change. Our internal discussion is not finished there, but you're absolutely right. We're talking with customers now. We're in the process in advanced stages of price increases, but we're not finished there. So it is a bit early on doing a final assumption on price increase. Olaf is nodding. So I'm obviously giving you an honest and straightforward answer. Before I mislead you and give you a number, which would just give you a wrong direction. Straightforward answer, so we're still in the process. Okay?
Heidi Vesterinen: So that sounds like a material step-up in pricing because there was no pricing in H1. Is that correct?
Heinz-Jürgen Bertram: Yes.
Heidi Vesterinen: Thanks. And then the second question. So in your speech, you talked about tailwinds as things normalize. Could you be more specific, which segments do you think will benefit? And don't you think maybe packaged food demand might slow as food service picks up? And is that still net positive for you in a tailwind? Thank you.
Heinz-Jürgen Bertram: Yeah. Okay. I dump that on Olaf because you made the statement Olaf. So you take that one.
Olaf Klinger: Yeah. So Heidi, I think we see now the pandemic situation in comparison to last year and we see the momentum coming back in the areas which suffered last year. And on the other hand, we have areas which were very strong last year like Pet Food and therefore you saw a little bit slower still strong growth in Pet Food. So these are the dynamics. You mentioned that the out-of-home environment might come back. And we see that ever. Actually, the beverage side is extremely strong. The Fine Fragrances side was extremely strong in the second quarter and this is the prior year comparison which comes through here. Overall, I think with the fact that people are going out again and can consume. That we have parks open and stadiums open. It will help to further support the business development on the flavor side. Having said that I think our increased gross guidance signals clearly that we are optimistic for the remainder of the year. I think all in all, we will have a strong performance in the course of 2021 and that is reflected also in these tailwind opportunities.
Heidi Vesterinen: Thank you. And then one final one for Heinz-Jurgen. Are you definitely leaving next year? We know your contract is expiring in October. Is there any update on that?
Heinz-Jürgen Bertram: Heidi, before I leave, we will have a glass of red wine a good one. So and -- but a serious point on the succession. We will come up with a clear answer before end of this year. We are not allowed to say something according to the legal requirements here in Germany at this point in time. But we're working on a succession plan and you will have an orderly succession plan before end of this year. And it includes also the answer to your question which you just brought up. So let me put it this way. Okay Heidi?
Heidi Vesterinen: Thank you.
Heinz-Jürgen Bertram: You're welcome.
Operator: Thank you. We will now move to our next question over the phone which comes from Matthew Yates from Bank of America. Please go ahead. 
Matthew Yates: Hi, a couple of questions. The first is around combining the Flavor & Nutrition divisions. Should we think of this as more of an opportunity to see some cost savings by removing some duplicate costs, or is it much more of a top line ambition? And have you thought about how to quantify that and over what sort of time frame? The second one actually is to follow up around governance that Heidi was asking. Scent & Care I'm sure you're enjoying running the Scent business, but can you update us on when we might get a permanent head of that division? And also I see that your Chairman recently changed his CEO role. And does that impact in any way his ability to carry out supervisory duties at Symrise? Thank you.
Heinz-Jurgen Bertram: Okay. Matthew, I think all three questions go in my direction and I'll take them. The combination of Flavor & Nutrition was in our view a logical step because as you rightfully said it offers the opportunity for some cost savings, but also some top line synergies. And actually we're working right in that direction and there is not a heavy emphasis on bottom line neither on top line. We will leverage from both of them and expect them within the next two years or so to be in. Quantification will follow as well. But we have said, over the next year's bottom line synergy not below € 10 million, but probably a bit more. That's what we have said already and we confirm that. But again more -- one of the more priorities was leveraging on the top line opportunities and grab all synergies there. Having said that governance of Scent & Care, expect a decision on the successor out there by latest next year. So, in the course of next year which shows we are not in a rush not under pressure. We have made an organized and orderly transition to now as the results from Scent & Care obviously shows. We are in the process of making some strategic adjustments not a total new strategy on Scent & Care that's not necessary, but some adjustments. And as soon as that is ready and we're in full swing of that. In the course of next year you will have someone presented who is running Scent & Care and will do a fine job. Leaving that aside. The Chairman role, our Chairman has assumed a new position. And I have to say I see no problems for him to take care of his duties if it comes to our company. He obviously enjoys being in the Supervisory Board. We are happy to have him and I had him on the phone just the day before yesterday no problem to get a hold of him. So he is totally committed no concern there. I hope that answers all your three questions Matthew. 
Matthew Yates: Very clear. Thanks very much.
Operator: Thank you. We'll now move on to our next question over the phone which comes from Thomas Swoboda from Societe Generale. Please go ahead.
Thomas Swoboda: Yes. Hello, everybody. Thank you very much for taking my questions. I have a couple around the margin guidance if I may. Firstly, can you confirm whether your guidance is including one-offs or excluding just so we have that clear please? And then related to that, you commented on the cyber-attack that there were some costs in H1, I'm curious if you can give us a hint about how much it was? And related to that, do you expect any insurance payments and the size of the insurance payment if you could give us to us would be great? And lastly, I'm sorry for this nitty-gritty stuff. Vanilla prices came down quite significantly. Can you give us a hint what does it mean to your inventories is -- are you planning to write down any inventories in H2?
Heinz-Jürgen Bertram: Thomas, we are smiling as we thought about exactly some of your questions and have in a very, very careful that I address most of these. Olaf, you want to take a bit more details to the one-offs and the vanilla price.
Olaf Klinger: Okay. So the margin guidance excludes the Sensient, if we have and we will probably have a little bit more in the second half when it comes to the purchase price allocation. So, that's excluded from the margin guidance we are focusing on operational activities. Cyber-attack, you're right, we had some extra costs probably in the high-single-digit area and we expect some insurance reimbursement in connection in the second half of this year. And to your third question…
Heinz-Jürgen Bertram: Vanilla price.
Olaf Klinger: Vanilla environment is fully reflected already in our financial statements. So, everything is in the books when it comes to the current price situation.
Heinz-Jürgen Bertram: So, nothing to be concerned here.
Thomas Swoboda: Understood, I wasn't. I wasn't. Just a clarification, the line wasn't good at the very beginning. So the one-off you booked in H1, this is included in the guidance, or is it not?
Olaf Klinger: Yes. Guidance of 21%, above 21% excludes the Sensient impact. We are focusing on operations when it comes to our margin guidance.
Thomas Swoboda: Perfectly clear. Thank you so much.
Olaf Klinger: Welcome.
Operator: We'll now move on to our next question over the phone which comes from Isha Sharma from Stifel. Please go ahead. Your line is open.
Isha Sharma: Hi. Good morning, both. Thank you for taking my questions. I just have two please. We know for a fact that there was a surge in pet demand driven by the global lockdowns. How do you expect the market to develop in the coming years? And what is a more reasonable assumption of growth in the midterm please? The second is on Sensient. Could you remind us of the synergies that you expect from the business and time line for realizing the synergies and potentially uplifting the EBITDA margin from the very low level where it is right now? 
Heinz-Jürgen Bertram: Okay. Isha, I'll happily take the question. So first growth of Pinova, yes, was also -- 
Olaf Klinger : Pet.
Heinz-Jürgen Bertram: Pet. Yes, Pinova was impacted by the lockdown. But nothing major I have to say. And pet was strong performing before and is doing it now and is to just a minimal effect benefiting or affected from anything. So that is a very stable organization nothing which we are concerned about. It feels right in the same bracket which we have said about the opening of the China factory, I think, all confidence that we can have is in this pet division.
Olaf Klinger: And Isha, on the mid-term which you actually also have to know we see that above average from a group perspective clearly. It continues high single or even double-digits in our forecast.
Heinz-Jürgen Bertram: Not even mid-term, I would say, long-term, there is no change to be visible in this trend. So, nothing to be concerned. Sensient, yes. We believe we made the right decision buying this business. We have realized that some major competitors have started to copy our move going in sustainable sourced raw materials for Fragrances ingredients in particular from pine needles. You just saw Givaudan has formed a joint venture with Privi. It's a similar direction before. Firmenich has acquired DRT. So they're in the similar direction. It obviously shows that our Pinova acquisition was the right move. And in the same direction is Sensient. So Isha, I expect the margin to be where the rest of the business is in less than three years. So as we already have completed half year, 2.5 years to be precise. Okay?
Isha Sharma: Perfect. Thank you. Thanks for that.
Heinz-Jürgen Bertram: You’re welcome.
Tobias Erfurth: Well, this was fast and efficient. Thank you very much. This brings us to the end of our conference call. Thank you very much for your time and your interest in Symrise. We are looking forward to seeing you in the upcoming virtual conferences and road shows. And above all, we hope to see you in-person soon. We will publish our trading update for the nine months and third quarter on October 26. That's it for today. Goodbye. Have a nice day and a great summer break. Thank you very much. 
Operator: Thank you to our speakers. Ladies and gentlemen, this does conclude today's call. Thank you very much for your participation. You may now disconnect.